Operator: Welcome to the Corporate Office Properties Trust Third Quarter Earnings Conference Call. As a reminder, today’s call is being recorded. At this time, I will turn the call over to Stephanie Krewson-Kelly, COPT’s Vice President of Investor Relations. Ms. Krewson-Kelly, please go ahead.
Stephanie Krewson-Kelly: Thank you, Kevin. Good afternoon and welcome to COPT’s conference call to discuss results for the third quarter and first half of 2018. With me today are Steve Budorick, President and CEO; Paul Adkins, Executive Vice President and COO; and Anthony Mifsud, EVP and CFO. In addition to the supplemental package and press release related to our results, we have posted slides on the Investors section of our website to accompany management’s remarks. In the results press release we issued yesterday and on our website, you will find reconciliations of GAAP and non-GAAP financial measures management discusses. At the conclusion of management’s remarks, we will open the call for questions. Statements made during this call maybe forward-looking within the meaning of the Safe Harbor of the Private Securities Litigation Reform Act of 1995 and actual results may differ materially due to a variety of risks, uncertainties and other factors. Please refer to yesterday’s press release and our SEC filings for a detailed discussion of forward-looking statements. With that I will hand the call over to Steve.
Steve Budorick: Thank you, Stephanie and good afternoon listeners. I am happy to report we had another strong quarter. We continue to capture leasing associated with strengthening demand throughout our portfolio and remain firmly on track to meet our profitability goals and modestly exceed our 2018 leasing goals. FFO per share of $0.50 was in line with the midpoint of our guidance and we outperformed our guidance for same property cash NOI growth and occupancy. The fiscal 2019 defense budget was signed into law on September 28, that's the first time in 10 years that the DoD received its annual appropriations on time. As shown on slide 6, the fiscal ‘19 base budget came in at $617 billion, representing a 2% increase over 2018 funding and $120 billion or nearly 25% higher than the DoD's 2015 base budget. An elevated and predictable defense spending environment and consistent bipartisan support in Congress to fund defense are driving demand for expansion space throughout our operating portfolio and for new developments. As slide 8 summarizes, our markets are in various stages of growth. Highlights from last quarter include 161,000 square feet of vacancy leasing in our operating portfolio that along with our developments placed in service drove our core portfolio back up to 94% leased. Notable large leasing gains during the quarter included our Fort Meade BW corridor sub-segment, which is up 50 basis points to 92.4% leased. The NoVA defense/IT sub-segment which is up 80 basis points to 92.1% leased, and our Navy Support Group which gained 160 basis points and is now 93.2% leased. In terms of development leasing, our third quarter was light with only 19,000 square feet of leasing, primarily at Redstone Gateway in Huntsville, where two speculative developments continue to capture demand for mid-sized defense contractors looking for more efficient modern accommodations. Last night, we announced two full building pre-leases for data center shells, representing the sixth and seventh leases of the 11 building pipeline we outlined for investors last November. These leases bring our annual development leasing above 1 million square feet, and we expect to meet our upwardly revised development leasing goal for the year. Regarding our 11-property data shell built-to-suit program, we’re under contract to purchase two additional land parcels to accommodate the remaining four build to suits in coming quarters. Completion of the program is virtually assured at this point. However, some of our deliveries and therefore rent commencements have been deferred. The Northern Virginia data center market is the strongest in the country and demand for suitable development sites is frenzy. During 2018 alone, we are tracking 16 major land sales in the market to support data center demand encompassing almost 1,500 raw acres and $750 million of land value. The sheer volume of data center development activities has stressed the capacity of accounting zoning and power distribution resources extending the completion times for land development. This additional friction has extended the completion dates for several of the projects on our 11-building development program. While the delayed commencements will defer some of the anticipated 2019 revenue into 2020, the magnitude of the revenue and the value creation of this program has not changed. I'll conclude my remarks with an update on government demand in our markets. Demand from government users continues to build following the increases in the defense budgets. We completed the 160,000 square foot NoVA B lease in June and are working to plan the next building at that secure site with a leased execution that could occur in 2019. We expanded the U.S. Navy again in third quarter, bringing our U.S. government leasing and Navy support to more than 100,000 square feet since 2016 when defense budget increases commence. We're working on two more solutions with the Navy to accommodate additional growth. And across our portfolio of government demand drivers, we are in discussions with multiple separate government users to accommodate growth or relocation to efficient secure facilities. These discussions range from conceptual to advanced planning for near-term and midterm solutions. Clearly, government demand is rebounding and we're optimistic about our future opportunities to expand our government relationships. At 310 NBP, we're in the process of finalizing a lease for the building second floor and have a high degree of confidence that will be completed by year-end. We continue to work with the government customer to lease the remaining four floors, which comprise 120,000 square feet and currently expect that to occur in 2019. Each quarter of delay in leasing the remaining 120,000 square feet equates to $0.01 of FFO opportunity cost to next year's results. Although the timing associated with leasing 310 has been frustrating, we continue to have confidence the property will fully lease. The 3.3 million square feet we already leased to the U.S. government and 29 full building leases have been a 100% occupancy since the original lease dates, some of which go back almost three decades. The long-term value of our U.S. government leases, which generates steadily growing cash flows and require minimal recurring CapEx far exceeds any short-term implications related to the prices delay we have experienced in leasing the 310 asset. So in summary, the elevated and orderly defense spending environment is spurring new demand from defense contractors and government users. The DoD's fiscal 2017 budget is driving the year-over-year increases we have achieved in vacancy leasing this year. Throughout 2019, incremental demand from the DoD’s substantial 2018 budget, which passed in law only seven months ago should amplify existing demand as defense outlays filter down to the real estate level. We will likely see incremental demand from the 2019 defense budget emerge toward the end of next year, further expanding leasing opportunities. We have the right real estate solutions to accommodate expected demand and the appropriate financial flexibility to seize the opportunities as they arise. With that, I will hand the call over to Paul.
Paul Adkins: Thank you Steve. Demand continues to accelerate our markets as reflected in strong leasing achievements this year. In the third quarter we leased 798,000 square feet including 618,000 square feet of renewals and during the first nine months we leased a total of 2.9 million square feet including 1.8 million square feet of renewals. For the quarter and the nine-month period, we achieved the tenant retention rate of 77%, which was at the high end of our upwardly revised guidance range. We have less than 500,000 square feet of expirations left this year, nearly all of which are located in the Fort Meade BW Corridor and Navy support sub-segments, where our historical track record has been strong. Based on discussions with our tenants, we are increasing our full year retention guidance again to a new range of 76% to 80%. Economics on renewal met expectations. Cash rents and renewals declined 1.6% in the third quarter and increased 20 basis points in the nine month period which were in line with guidance. Based on deals in process, we continue to forecast cash rents on renewals for the year will be flat to down 2%. Slide 11 shows our leasing CapEx on renewals continues to be one of the lowest among office REITs. In the third quarter, our CapEx per square foot per year of term on renewals was $1.52 and for the nine months it averaged $2.03. The bigger story for this year is the volume of vacancy leasing that we have achieved which is depicted on slide 10. During the quarter we leased 161,000 square feet of vacancy bringing our total for the first nine months to 348,000 square feet which is 50% higher than the volume we achieved during the first three quarters of last year. We expect fourth quarter vacancy leasing to be strong and based on tenant occupancy scheduled, are tightening our year end same property occupancy guidance to a new range of 92 in the quarter to 92 and 3 quarters per cent. In addition to leasing existing space, our ability to deliver highly leased development projects is critical to achieving our goal of delivering attractive risk adjusted returns for shareholders. In the quarter, we placed 214,000 square feet of newly constructed or re-developed properties in the service that were 100% leased which brought our nine month total to 450,000 square feet that were 86% leased. Based on our fourth quarter activity, for the full year we expect to place approximately 700,000 square feet into service which will be over 90% leased. Our shadow development pipeline tracks development leasing and build the suit transactions where we believe we have at least a 50% chance of winning and contain 2.0 to 2.5 million square feet last quarter. So, tracking the 366,000 square feet of data center leases we announced last night. Our shadow development pipeline still contains 2.0 to 2.5 million square feet. In terms of composition, traditional defense IT office space now comprises 60% of our pipeline and data center shells represents 40%. Among our 10 active construction projects, six projects totaling 950,000 square feet and one land parcel collectively represent a total investment of $168 million and are 100% leased. Leasing activity among the four projects that are not yet fully leased is very strong. At 5801 University Research Court at the University of Maryland discovery district, we are closed to completing a 10,000 square foot lease that will fill the building. At Redstone Gateway, we are closed to delivering two spec building totaling 79,000 square feet. During the quarter we signed an 18,000 square feet lease with the defense contractor that increased the combined leasing to approximately 50% and we are currently in the advanced negotiations on three leases that will stabilize both buildings by year end. Additionally, at 2100 L. Street, our trophy development in Washington D.C., We are in negotiations and tracking prospects for more than 1.5 times the project remaining office space. Given our late 2020 delivery window and the superior quality of our location and design, we feel highly confident in our ability to deliver that asset substantially leased. More broadly, contractor demand for large pre-leases in full building leases continues to emerge. We already signed one such transaction in the second quarter with our confidence project EX. Our shadow development pipeline contains multiple build-to-suit opportunities and we expect to complete a 50% pre-lease with the defense contractor on a new office building if not by year end than in early 2019. With that I will turn the call over to Anthony.
Anthony Mifsud: Thank Paul. During the quarter, we successfully executed several capital market transactions. In late July, we closed on $116 million construction loan for 2100 L. Street in Washington D.C. The proceeds from this loan will completely fund the project's remaining development cost. We continue to improve our balance sheet by match funding our development investments with equity. During the quarter we drew down $80 million of our forward equity agreement and issued $30 million at $30.46 a share under our ATM program. We will be using the proceeds from our ATM to fund project EX which is incremental to our 2018 development plan. We now have approximately $86 million of issuance remaining under our forward equity facility and $40 million of capacity under our ATM. Shortly after the quarter, we entered into a new $800 million credit facility to replace our existing line. The new credit facility has improved pricing and covenants, matures in March 2023 and has two six-month extension options. Also of note, in September, Fitch ratings upwardly revised its outlook on our credit rating from stable to positive. In terms of guidance as Slide 19 shows, we are maintaining the midpoint of our full-year guidance at $2.01 and tightening the range to $2 even to $2.02. We're also tightening our fourth quarter FFO for share guidance from the prior range of $0.48 to $0.52 to a new range of $0.49 to $0.51. The $0.50 cent midpoint of our fourth quarter range is flat with third quarter results because we are completing several weather-related R&M projects that were budgeted for earlier in the year. One last item of note in our fourth quarter guidance relates to a gain on sale we will book on an asset in central Virginia that we sold last October. Because we extended a financial guarantee to the buyer as part of that sale we have listed the asset as held for sale on our balance sheet with an offsetting liability through the third quarter. On October 1st, the guarantee expired resulting in a $0.01 gain on sale in our fourth quarter EPS guidance. With that I'll turn the call back to Steve.
Steve Budorick: Thank you. The defense industry recovery is picking up steam. In the timely passage of the fiscal year 2019 defense budget reflects the high level of bipartisan support that exists in Congress to fund defense and intelligence activities. We've captured new leasing opportunities in our operating portfolio and expect strong leasing momentum going into 2019. Government and defense contractor demand for new efficient space is heating up especially at a Redstone Gateway development in Huntsville and demand for data center shells with our customer Northern Virginia remains strong. Our leasing gains this year have been primarily driven by the 2017 defense budget. We're excited at the prospect of new demand that will emerges to 2018 and 2019 defense outlays work their way through the system and create even more opportunities. We're uniquely positioned to provide real-estate solutions to defense IT customers to support their growth, modernization, and security requirements. And with that, operator please open up to call for questions.
Operator: Thank you Mr. Budorick. [Operator Instructions] Our first question comes from Manny Korchman with Citi.
Manny Korchman: Hey. Good morning everyone.
Steve Budorick: Good morning.
Manny Korchman: Steve, if I'm looking at the presentation you guys put out along with earnings, it looks like on the slide where you have reminders, risks, and opportunities, you have a section there that you talk about how long it takes for government appropriations to flow through. In the deck, this quarter you'd say it takes nine to 18 months, in the prior deck you guys had sorry I had it here a second ago: you had six to nine months. So, why has that timing sort of from your view changed or if it hasn't why has it changed in the slide deck?
Steve Budorick: Well we extended it a little bit in this deck based on the experience we're having with a couple opportunities that really are flowing out of contracts that got awarded in '16, but are very long-term contracts with major planning components; and although we expect to get those signed in the next quarter or so, these took longer than we had previously anticipated. Smaller contracts continue to be more in the timeframe that you’d talked about.
Manny Korchman: Great and then turning back to 310, it feels like your comments on this call and then also in that slide presentation make it feel like you have less confidence in that happening this year, and so you talked about more the impact to next year’s same-store growth. Am I reading that right that you don't think that that's going to happen before next year starts?
Steve Budorick: So we expect one floor to get done before next year starts, and my comments clearly stated that we expect the full leasing of the remaining four floors are 120,000 square feet to be a 2019 event.
Manny Korchman: When you say 2019, can you give us more specific, sort of when in '19 is that 1Q, 2Q end of?
Steve Budorick: I'm not going to put timeframe around that. The situation has been very slow and methodical, and we're just going to be conservative on our expectation on the timing guidance.
Manny Korchman: Thank you, Steve.
Steve Budorick: Thank you.
Operator: Our next question comes from Craig Mailman with KeyBanc Capital.
Steve Budorick: Hello, Craig.
Craig Mailman: How are you? I just want to follow-up. Last quarter, you guys bumped the development leasing target by about 200,000 square feet, and you had mentioned that about 60% of that bump was office and 40% shell, but with last night's announcement with the two additional shells it looks like almost 100% of that is shells and less is office. I guess maybe dovetailing with Manny’s commentary, just you guys still seem pretty confident about the tail here, but it just continues to take longer and longer. I mean is there something else structurally going on with where the demand is going or the amount of space that contractors already have in given markets, so that is kind of limiting the flow through on the office side.
Steve Budorick: No. What I would say with regard to new development leasing with contractors, major pre-leases and build-to-suit discussions, they're making decisions for a very long period of time and they're methodical. As Paul said, we expect to get a major pre-lease done either by the end of the year or shortly thereafter that is with a defense contractor to kick off another building at one of our government demand driver locations, and we have several others that we’re in advanced planning on. So, we're confident we'll get them.
Craig Mailman: Okay. And then just, I think Anthony you had mentioned that the ATM equity is being used to fund EX. I know you guys are limited in what you can say there but can you kind of talk about the decision to issue on the ATM at I guess I estimate about a seven cap given your data center developments are low sevens, your office are eight to nine. Kind of where does EX fall in that spectrum of returns, and can you just talk about the appetite to continue to issue more below NAV the fund the project and the timeframe to kind of make up that dilution as you get projects done?
Anthony Mifsud: So, that the project EX’s initial cash return is probably in the low 8% range from a cash NOI perspective and then has annual bumps to it. With respect to where we issue under the ATM, we're looking at funding that project or funding other data center shells or office -- defense contractor office investments and looking at that capital allocation decision not just against the current -- the initial cash yield but also against the development premium that we're creating with that investment. So, when you look at that 8% or 8.25% initial cash yield from project EX, we would argue that's a 5% to 5.25% asset given the tenancy and the mission that it's connected with. So, the price, the slight discount that we're issuing the equity at relative to the development profit that's being created is a relatively small component of that NAV creation. So, we are very judicious in terms of the price that we're willing to execute under the ATM but we're keeping in mind that the value we're creating with those development projects is not at its initial cash yield, it’s at a cap rate that in most cases is several hundred basis points below that.
Craig Mailman: Okay, and I know Steve we've talked about in the past, joint venturing more data center shells. Just given the success you guys have on leasing there, the thought process on maybe putting more in that JV and kind of just maybe some color around GI's appetite at this point, are they still there to do more with if you guys wanted to?
Steve Budorick: So let me answer the first part of the question. We've said before and continue to maintain that one we had a situation where we need internal equity to fund new development that would be of lowest cost source of capital. With regard to GI, we haven't really had a conversation with them and its recent quarters. But when we have had conversations, they continue to have interest but I have to tell you if we get unsolicited calls regularly from investors looking to get into data center investment and I'm quite certain if we were to seek in an additional JV we'd have multiple choices of people that would willing to get into that structure.
Craig Mailman: Give a sensible pricing would be for those assets today?
Steve Budorick: I fully believe it would be at plus or minus five cap.
Craig Mailman: Great. Thanks, guys.
Operator: Our next question comes from Jamie Feldman with Bank of America Merrill Lynch.
Jamie Feldman: Great. Thank you. So, I was hoping you can talk more about the delayed land in Northern Virginia just what do you think the earnings impact would be on that and is there a chance that your tenant could actually walk away if you don't get it done by a certain time?
Steve Budorick: So, the first part of that we're not ready to calibrate that just yet and we will be as we move into guidance. We just wanted to elevate awareness that there's some timing delay. With regard to the confidence that the customer will be there for us, a 100% confidence and it's just complications in getting the land development done so we can kick them off.
Jamie Feldman: Okay so maybe just provide if you can provide more color around it so when did you think you'd have it done versus what's reasonable now to be able to close and start to finish construction?
Steve Budorick: So, there's two separate land parcels. One of those I think we handicap for an August or July closing. That one will happen near December and then the second will close in the first quarter due to some complications in getting certain things that we need to develop on that land.
Jamie Feldman: And so and then how long would it take to actually get the building up and running? Is it six months?
Steve Budorick: Well, each site will accommodate two buildings. So, the first building I would guess to be about six months and the second building three to four months after that.
Jamie Feldman: Okay. Anthony, I guess just you talked about well and then also 310 NBP I mean what is there anything structurally or procedurally that would delay you from getting it done by a certain time next year; that last four floors?
Anthony Mifsud: So, the government is working through the steps they need to get the authorizations that they need to lease space and that timing is driven by them not us.
Jamie Feldman: Okay. But there's no like known date that it can't happen before. It's more just a matter of them getting their authorizations in time.
Anthony Mifsud: Correct.
Jamie Feldman: Yes waiting anything, okay. And then I know you guys haven't given '19 guidance but it does seem like there's some moving pieces here. Are you able to just walk through some of the big blocks just in terms of where we know there will be some growth and where we know there will be some drag including lease accounting?
Anthony Mifsud: Sure. I mean in terms of where they'll be some growth there will be some growth from the development projects that we've placed in service, in addition including the incremental projects to our pipeline that we had anticipated at the beginning of the year. These and benefits from the leasing velocity that we're experiencing in the existing portfolio, that's a benefit from the 2017 defense budget. And they will be partially offset by the risks that we outline in the current deck for the timing of 310 as well as the delay in some of the deliveries of the data center shells. With respect to the changes in accounting, the impact for next year's earnings of the change in lease accounting is a little over a penny a share.
Jamie Feldman: Okay and then finally, you guys have made good progress leasing up vacancy. Can see can you just talk about if you look at the portfolio today and the desirability of the space or I guess maybe a better way is to compare the pipeline you're seeing of demand versus what you actually have available and how does it line up? Like, kind of what's the shadow pipeline for your vacancy right now as opposed to just your development pipeline?
Paul Adkins: Yes. Hey Jamie, it's Paul. Well first we're certainly quite pleased with the progress we've made so far in leasing velocity. Each quarter has increased and as we said we're 50% over where we were last year during over the same period in terms of leasing velocity. We see it continuing through the fourth quarter and expected to continue into next year but the alignment of our vacancy with the activity is satisfactory. It's not perfect but it's satisfactory and so we have at least as many prospects for the space as we do have vacancy which is right around a million square feet. So, we keep having the activity that matches well with our vacancy.
Anthony Mifsud: Let me just throw some numbers around that Jamie. What we call pipeline or advanced negotiations, those are deals that pipeline is 50% more likely to close. We're at about 300,000 square feet and pipeline are better if you had prospects where we're working on solutions it's about 600,000 square feet and in total the full breadth of opportunities identified is nearly a million. So, we've got a really good volume behind it.
Jamie Feldman: So, you're saying 300,000 square feet is just for vacant space?
Anthony Mifsud: That's all vacant.
Jamie Feldman: That's all vacant.
Anthony Mifsud: Yes the entire report deals with the operating portfolio.
Jamie Feldman: Okay. Alright, thank you.
Operator: Our next question comes from Tom Catherwood with BTIG.
Tom Catherwood: Thanks. Good afternoon, everybody. I just wanted to focus on the data center shells a little bit more here. When you laid out the original 11 opportunities back in October of 2017, the average cost was something near bit of like $190 plus a square foot. The last few that you started even in that $160 something a square foot kind of range. The two though you now just really like 125 and 137 a square foot with pricing pressures and land costs and all it's kind of a surprise what's keeping those prices so low?
Steve Budorick: So, the two that we announced yesterday are on the land parcel that we already owned. So, we had a much better cost basis in the land and really those are being developed at that location because another site where we had tried acquire we could not get the power in a time frame that met our requirements and so it's just fortunate opportunity to pass on a nice efficient cost basis to our customer.
Anthony Mifsud: And Tom, just to give you the totals our original 11 data center pipeline had a total of $383 million worth of development investment. Our current budget for that for the 11 projects is about $375 million. So, it's slightly less but some of the ones that will be coming are going to have a higher burden of land costs.
Tom Catherwood: Got it. So, that kind of Anthony leads into the next part of my question which is so the spend has been a little slower than expected partly because of acquiring land partly because of being able to do it on land with a lower basis. As of last quarter I think the expectation was that the forward equity could fund development spending through the first quarter of '19 given slower spending and the ATM issuance where are your expectations as far as how far your equity can now fund what you have in the pipeline?
Anthony Mifsud: So, it will take us into the in terms of what the spend is it'll take us most likely through the end of the second quarter of next year but there is a firm funding date under the contract we executed to fund those proceeds by the end of April of 2019. So, there will be a bit of a disconnect in terms of timing because of the 18-month length of the forward.
Tom Catherwood: Got it. Okay and then finally for either Paul or for Steve on the shadow pipeline. My math might be off here but if I kind of pull out the remaining data centers, it looks like you have anywhere from kind of an additional million to a million seven of kind of opportunity beyond the known data center shells. A) Am I in the ballpark there? And then B) what's the breakdown as far as additional data center shells versus kind of traditional office-type opportunities in that other bucket?
Anthony Mifsud: So, your math is pretty right on the money, there is about 900,000 square feet of that and it's going to show on that 2.0 to 2.5. So, the land, data center shell component is 1.1 to call 1.5, or 1.6 million square feet. In the second, part of that question was?
Tom Catherwood: No, I was just trying to figure out if with the balance of that 1.1 to 1.6 was it all office, was it some additional data center shell beyond the original 11 and it sounds like it is just office.
Steve Budorick: It is primarily, substantially office. It's all office.
Tom Catherwood: Got it. Alright, thanks guys.
Operator: Our next question comes from John Guinee with Stifel.
John Guinee: Great. First, it's been one year since you did the forward equity sale, great execution, congratulations. Two, sort of subject matter. First, Steve, agree a 100% that the AWS powered shell, exit cap rates about a five. We've been told that from your competitors that you got to build a little bit less than the six yield on cost to win that fed. If you're going to exit at a five. And then, so comment on that. And then I guess the second question would be you've got four more of these powered shells that you don’t own the land yet, how have you structured your deal with your client given that your cost that has to have to have gone up 10% 20% in the last year just because land prices have doubled out there.
Steve Budorick: So, first the answer. We've never been we’ve never done a deal sub six on our development cost. And we're in the high six's today. Second answer, we do our deals as a return on cost. So, in essence increased cost of the land doesn’t affect our initial yield.
John Guinee: Got you. Okay, then I guess the second comment would be you're sitting there with 310 NBP, the XP has a full building at Annapolis Junction. Emerson Corporate Common has a few floors vacant. Those are the three primary secure space available for the NSA or the Department of Defense to lease. At the same time, as near as I can tell, there is about a million square feet of space, office space under construction on for need, you got JOCC, Joint Operation Cyber Command for 240,000 feet. Marine Course Cyber Command looks like about a 120,000, 140,000 feet, that's another 600,000 square foot building under construction. And you sure that the DoD budget isn’t oriented towards military construction or MILCON rather than leasing space?
Steve Budorick: Well, there is no question, a lot of MILCON activity perhaps we've explained before, that's a recapitalization of the campus facilities and for need. If you look at the facilities that exist, none of them need anti-terrorism force protection standards and some of the newer buildings are early-80s construction. So yes, we're confident that what I convey to you that demand on for need will lease our building.
John Guinee: That seems to me they might be putting a lot of money in these buildings that you think are going to be torn down soon but you guys are the experts, thanks.
Operator: Our next question comes from Jason Green with Evercore.
Jason Green: Good morning. Just a question on what you mentioned earlier with the 2019 budget passing. So, really is it fair to say that the impact from that budget what we filled in your fiscal year '19. And does that materially increase expectations for the year?
Steve Budorick: Yes, exactly. So, we expect the fiscal '18 budget which has now been passed for seven months begin to ramp-up in the '19 and the fiscal '19 budget which has passed last month will start ramping up near the third and fourth quarter 2019.
Jason Green: So, essentially it'll be a unique year where you kind of are feeling the impacts of two budget proposals?
Steve Budorick: Yes, it will be.
Jason Green: Great. And then just one question for you, with the dramatic increase in budget proposals, have there been new entrance into the market, new kind of real-estate providers for defense contractors that recognize this an opportunity?
Steve Budorick: None, no, not really.
Jason Green: Okay, great, thank you.
Operator: Our next question comes from Rich Anderson with Mizuho Securities.
Rich Anderson: Thanks. Good afternoon, everyone.
Steve Budorick: Hey, how do you do?
Anthony Mifsud: Hi, Rich.
Rich Anderson: So, I would describe your business as exciting but complicated and time consuming. And particularly as it relates to the defense budget, you just described. The portfolio is built for 2.5 plus same store growth. I'm wondering when you consider some of the timing behind even having a sort of a double whammy positive in 2019 from two budgets, does the recovery back to sort of a more normalized internal growth rate happen in the hockey stick fashion or do you think it's more of a gradual return over period of a few years?
Steve Budorick: I think it's just gradual stuff.
Anthony Mifsud: I guess, Rich, that the benefit of that leasing activity, the two budgets combined will be to leasing in 2019 and the leasing will have its benefits to same office cash beginning late '19 and to '20. So, it's really the double about budgets in late third fourth quarter of next year that will really impact leasing. That will then impact subsequent years.
Rich Anderson: Yes, okay good, thank you. Steve, you had a nice packing or a comment there about the leasing opportunity 300,000 in the current portfolio. 300,000 of new development and then perhaps 400,000 longer term. When you think about some of the discussions that you talked about having from conceptual to advanced planning. To what degree are you kind of pushing them into the top category in the interest of getting that fist packing order done and also seeing the impact on your cash flow more quickly. Or are you ambivalent to that, are you happy to have them do a full new development even though it might take longer to see the fruits of your labor.
Steve Budorick: So, first I wanted to just clarify a little bit. The 300, 400 that has to do with the progression of lease opportunities only in the operating portfolio.
Rich Anderson: Okay.
Steve Budorick: And then looking to the conceptual to advanced planning that has to do with planning new facilities for multiple government users at multiple locations. And there's no inventory that exist that I could push them into.
Rich Anderson: Got you, okay. Thanks for clarifying that. And then, I thought I got that wrong by the way. And so, sometimes you have to ask a stupid question to get a bright answer. The last question I have is let's assume for a moment that Amazon is on its way to the region. If you were to apply your own crystal ball. Do you see the company changing a bit in response to that potential demand, in other words doing more in the way of more conventional office investing developmental acquisitions in the area or will it not impact your sort of strategic approach to government and all of that stuff?
Steve Budorick: Well, first of all, my crystal ball's not very good with regard to Amazon HQ2 forthcoming that you've guessed. We will certainly welcome them picking any of the locations they've considered in our market place. And I think many boats would rise with the tide that would bring to us. With regard to our strategy, there would be no change in our strategy. We are laser focused on our defense data center show which is with cloud computing providers to the government. We have bit of regional office, we see value creation opportunities in those and will continue stay laser focused on what we've laid out.
Rich Anderson: Right, okay. And then, last question on the regional office. I mean, could that ultimately become a source of funds for you as you maybe go full or board into strategic assets in light of where your stock trades today?
Steve Budorick: Absolutely, it would be a second priority of internal capital sourcing. But having said that, we have value creation opportunities and each one of those buildings are we're pretty focused on realizing before we harvested. So, we prefer a couple of years down the line.
Rich Anderson: Okay, sounds good. Thanks, very much.
Steve Budorick: Sure.
Operator: Our next question comes from Dave Rodgers with Baird.
Steve Budorick: Hi, Dave.
Anthony Mifsud: Good afternoon.
Dave Rodgers: Yes, good afternoon, guys. Maybe the tides in a little bit with Rich's question. But when you talk about kind of small tenancy more visible and maybe not really having a lot of places to push them into from a strategic standpoint. Do you anticipate having to or would you be comfortable moving to a higher degree of speculative construction through '19 and '20 given where the budget is and just having space to can meet demand pretty quickly?
Steve Budorick: So, it's market specific. And in most of our locations we've talked about our occupancies in the 92% to 93% range. We have capacity for small and medium tenants. The one location where we move to more speculative development was Huntsville where we kicked off two buildings roughly 8000 feet. We're pretty sure they'll be stabilized by year end. We -- I would not be surprised, we continue building to meet the demand that we see down there because it's pretty exciting. So, if you see a spec from us, it will be at Huntsville. We're also planning another building at the University of Maryland. But we expect to have a free lease associated with that.
Dave Rodgers: Great, thanks for that. And then maybe just a final wrap up on the 1 million to 1.5 million of office pipeline that you talked about. You were pretty clear on your returns for the data shell business. And that is helpful, so thanks for that, Steve. What are you anticipating over the next couple of years and kind of the market level for this office pipeline and can you hold something or worth of in either, are you seeing some incremental pressure on returns there?
Steve Budorick: We think would be eight or better.
Dave Rodgers: And then lastly, maybe on timing and maybe that's for Paul talk about the timing for that office component and things like that. The data shell component is a little bit more clear, office a little bit more cloudy but can you kind of give any goal post around the timing on that longer term office component of the pipeline?
Anthony Mifsud: Well again, it's sort of market specific. Because sometimes are we said in our delivery; some of them are near term; some of them are long term evolution. But I think in '19 we will see a number of those projects and advanced to complete the '19 and '20 in terms of the office projects and then signing them up. So, it's each market kind of has their own timeframe that they that we're working with and involves government uses as well as Defense contractor.
Steve Budorick: Yes. With regard to defense contractors, we'd like to get one announced by year-end but no, dribble into January.
Dave Rodgers: Okay. Thank you, guys.
Operator: Our next question comes from Chris Lucas with Capital One.
Chris Lucas: Hey, good afternoon everybody. He Steve, on the data shell side, have you built any two story projects for your client?
Steve Budorick: We're in the process of building several.
Chris Lucas: Is the stuff that you've already built, capable of going two floors?
Steve Budorick: No. that would not be an efficient conversion.
Chris Lucas: And have you delivered two floors to them at this point?
Steve Budorick: We have not.
Chris Lucas: Okay. That's all I have. Thank you, I appreciate it.
Steve Budorick: Thanks, Chris.
Operator: And I'm not showing any further questions at this time. I would like to turn the call back over to Mr. Budorick for closing remarks.
Steve Budorick: Thank you all for joining our call today. We're in our offices this afternoon. So, please coordinate to staff and if you like follow-up phone call. Have a great day.
Operator: Thank you for your participation in today's Corporate Office Properties Trust third quarter earnings conference call. This concludes the presentation, you may now disconnect. Good day!